Operator: Good day and thank you for standing by. Welcome to the Third Quarter 2024 NCS Multistage Earnings Conference Call. At this time, all participants are in a listen only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Mike Morrison, Chief Financial Officer. Please go ahead.
Mike Morrison: Thank you, Dee Dee and thank you for joining the NCS Multistage third quarter 2024 conference call. Our call today will be led by our CEO, Ryan Hummer and I will also provide comments. I want to remind listeners that some of today's comments include forward-looking statements such as our financial guidance and expectations for future financial results and business operations. These statements are subject to risks and uncertainties that could cause our actual results to differ materially from any expectation expressed on this call. Please refer to our most recent annual report on Form 10-K and our latest SEC filings for risk factors and cautions regarding forward-looking statements. Our comments today, as well as the results of operations, included in our earnings release contain the following non-GAAP financial measures; adjusted EBITDA, adjusted EBITDA margin, adjusted gross profit, adjusted gross margin, free cash flow less distributions to non-controlling interest, and net working capital. These non-GAAP measures and reconciliations to the most comparable GAAP financial measures are presented in our third quarter's earnings release, which can be found on our website ncsmultistage.com. I'll now turn the call over to Ryan.
Ryan Hummer: Thank you, Mike and welcome to our investors, analysts, and employees joining the NCS third quarter 2024 earnings conference call. NCS has continued its strong performance throughout 2024. Our third quarter revenue of $44 million, increased by 15% compared to the prior year and was at the high end of the guided range provided on our last earnings call, reflecting year-over-year increases in each of the U.S., Canada, and international markets. Our revenue for the first nine months of 2024 of $118 million, represents a 10% increase over the same period last year. Our adjusted gross margin, which excludes depreciation and amortization expense, was 42% and represents the high end of our guided range for the quarter, supported by margin-accretive international revenue. SG&A expense of $14.1 million for the quarter was $1.5 million higher than the third quarter of 2023, reflecting higher incentive bonus accruals based on our favorable operating results, partially offset by the benefit realized from cost savings measures implemented last year and other expense reductions. SG&A expense for the first nine months of 2024 is lower by $0.5 million as compared to the same period in 2023. Our adjusted EBITDA of $7.1 million, exceeded our guided range for the quarter of $5 million to $7 million. Our adjusted EBITDA for the first nine months of 2024 or $14.1 million improved by $4.6 million as compared to the same period in 2023. This improvement includes year-over-year contributions from revenue growth, a higher adjusted gross margin percentage, incremental royalty income, included in other income, as well as lower SG&A expenses, with each part of our business contributing to our more favorable results. This is also evident in our net income to NCS shareholders. During the third quarter, net income was $4.1 million or $1.60 per diluted share. Net income for the first nine months of the year, which includes our seasonally slower second quarter, was $3.1 million or $1.21 per diluted share. Our balance sheet remains strong. Our cash balance and total liquidity were $15.3 million and over $37 million respectively on September 30th. Our free cash flow, less distributions to non-controlling interest, was $0.4 million for the first nine months of 2024, representing an improvement of $3.3 million compared to the same period last year. In prior earnings calls, I referenced NCS' core strategies for creating value for our stakeholders. Slide 13 in our investor presentation illustrates our strategy and provides examples of this progress. The first core strategy is to build upon our leading market positions. I'll start with fracturing systems where we continue to deliver unique value for our customers. During the third quarter, a customer in Canada adopted our sliding sleeve solutions to mitigate the impact of seismic events during fracturing operations. These customers are required to monitor seismic activity, while they frac their wells. Previously, this customer is forced to shut down operations once seismic events exceeded established thresholds. The customer had a difficult decision to make either wait to resume operations, decreasing efficiency or to move up hole to a different section of the lateral, sacrificing a portion of the well. To mitigate this, the customer recently adopted NCS sliding sleeves in the region, employing our Shift-Frac-Close process. When elevated seismic activity was encountered, the operator simply moved up the wellbore a few hundred feet and resumed operations maintaining efficiency. Once the remaining stages of the well were complete, the customer is able to run back to the bypassed area where the pressure has since dissipated and stimulate the zone that had previously been bypassed. This type of solution is simply not available when using alternative completion techniques and highlights our differentiated technology, the quality of our robust service tools and multicycle sleeves, and perhaps more importantly, represents the expertise that our people bring to the customers well sites to deliver valuable solutions to our customers' challenges. We've also demonstrated the benefits of our strategy to build on our leading market positions in our Tracer Diagnostics product line. During the quarter, we provided Tracer Diagnostics services on a high-profile geothermal well in the US and also traced to customers well in the North Sea, which was a first for NCS in this region. The latter success ties directly to another core strategy which is to capitalize on international and offshore opportunities. The strategic initiatives we've implemented and investments we've made over the last several years to capture opportunities outside of North America are delivering strong results for NCS in 2024 and provide the foundation for further international growth in coming years. Our international revenue for the first nine months of 2024 of $12 million has already exceeded our full year 2023 international revenue supporting our year-over-year increase in adjusted gross margin. For 2024, we expect to meet or exceed NCS' prior record level of annual revenue from international markets of more than $15 million, which was established in 2019. For the first nine months of 2024, International revenue represented 10% of total revenue for us, an increase from 5% in the same period last year. We've grown our Tracer Diagnostics services in the Middle East, expanded our customer base for fracturing systems in the North Sea and are benefiting from increased activity in Argentina, as activity in the Vaca Muerta accelerates. We're optimistic about the North Sea over the next several years as our key customers are proceeding with multi-well development projects that will span several years. This additional activity complements the work that we've done to grow our customer base and to commercialize our Tracer Diagnostics offering in this region. We also expect to benefit from new contracts signed in the Middle East for our well construction portfolio, supporting conventional and unconventional resource development in the region. The third core strategy for NCS is to commercialize innovative solutions to complex customer challenges. We have internal objectives this year tied to obtaining field trials for new products and to successfully enter new markets and regions. I'll briefly highlight a few of these exciting projects. We developed a larger version of our frac sleeve and service tool to be run with 7-inch casing. We expect to run this system for the first time either later this year or early in 2025 for a customer operating in Alaska. This development expands our addressable market enabling us to participate in projects for which the customer is seeking greater flow rates including certain offshore markets, water disposal wells, carbon capture and sequestration, geothermal and SAGD applications. During the last call, I mentioned the development of a high-pressure AirLock in the Middle East. I'm pleased to announce that we've expanded on this success with additional AirLock runs during the quarter and early in the fourth quarter of 2024. We're in the final stages of negotiating a multiyear commercial purchasing agreement with this customer for multiple products within our well construction product line. The trials of our high-performance dissolvable frac plug mentioned on our call last quarter were very successful. The customer achieved increased treating pressure as compared to previously run competing dissolvable plugs. Surface pressures indicated good ceiling performance which provides enhanced reservoir access. We expect additional trials to accelerate in the fourth quarter and we'll expand this offering to new sizes and to accommodate higher salinity conditions. During the third quarter and early in the fourth quarter, we provided unique completion solutions to customers' carbon, capture and sequestration wells in both the US and Canada. By using our fracturing systems technology these customers can thoroughly test the injectivity and storage capacity of multiple vertical zones in their reservoirs. In addition, we have several other technology developments underway across our various product lines which we'll speak to in more detail on future calls. Mike will now review the results for the third quarter in more detail and provide our guidance for the fourth quarter.
Mike Morrison: Thank you, Ryan. As reported in yesterday's earnings release, our third quarter revenues were $44.0 million, a 15% increase year-over-year with international revenues, up 89%, US revenues up $39 and Canadian revenues up 3%. The increase in our international revenues continues to be driven by tracer work in the Middle East and our North Sea frac systems. Our US revenues reflect higher composite plug in perforating gun cells by repeat precision. The modest increase in our Canadian revenues was due in part to higher fracturing systems activity in 2024 compared to last year. Sequentially, our revenues in the third quarter increased by 48%, with Canada increasing by 139%, reflecting seasonality associated with the spring breakup in the second quarter. This increase was partially offset by a decline of 31% in international revenues, primarily due to the timing of tracer service work in the Middle East and a 6% decline in the US.. Our adjusted gross profit which excludes depreciation and amortization expense was $18.5 million in the third quarter of 2024. Our adjusted gross margin was 42%, an improvement compared to the adjusted gross margin of 41% in the third quarter of last year. Other income for the third quarter of 2024 was $1.5 million and primarily relates to royalty income generated by licensing our intellectual property. Compared to the third quarter one year ago, our other income was down approximately $500,000 as the 2023 results included the recovery of unpaid invoices associated with the legal settlement and the reversal of the legal contingency fee that did not recur in 2024. Our adjusted EBITDA for the third quarter of 2024 was $7.1 million, an improvement of $300,000 compared to the same period in 2023. Our adjusted EBITDA reflects an increase in revenues, improved gross margin, non-bonus SG&A savings and increased royalty income, partially offset by an increase in bonus incentive accruals associated with our improved year-to-date operating performance. Now turning to the balance sheet. As of September 30, we had $15.3 million in cash and total debt of $8.6 million, which consisted entirely of finance lease obligations, resulting in a positive net cash position of $6.7 million. The borrowing base availability under our undrawn ABL facility was $21.7 million, resulting in a total liquidity of over $37 million, including cash and availability under our revolving credit facility. Turning now to a few points of guidance for the fourth quarter. We currently expect fourth quarter total revenue in the range of $38 million to $42 million. We expect Canadian revenue in the range of $26 million to $28 million, U.S. revenue of $9 million to $10 million, and international revenue of $3 million to $4 million. We expect our adjusted gross margin to be between 40% and 42%. We expect other income of $1.1 million to $1.3 million. We expect our adjusted EBITDA to range from $4.0 million to $6.5 million, in the fourth quarter depreciation and amortization expense to be approximately $1.3 million to $1.4 million. With that, I'll hand it back over to Ryan to discuss our 2024 full year guidance and for closing remarks.
Ryan Hummer : Thank you, Mike. So, with our results through the first nine months and the Q4 guidance that Mike just provided, I'll recap our annual guidance. We currently expect full year revenue of $155.5 million to $159.5 million. This guidance increases the midpoint of the revenue range by $1.5 million, which would represent an increase of 11% compared to 2023. We've increased our adjusted EBITDA range to approximately $18 million to $20.5 million with a midpoint of $19.3 million. This is a $1.3 million increase to the midpoint of the range from last quarter, and an increase of $4.3 million from our initial full year guidance provided in March. The year-over-year increase of more than $7 million for our full year adjusted EBITDA at the midpoint of the current range, represents an incremental adjusted EBITDA margin of 49% on the $15 million increase implied by the midpoint of the revenue guidance. This reflects the impact of the business optimization initiatives undertaken by NCS in 2023, a relatively fixed operating expenses and an increase in recurring royalty income from additional licensing of our intellectual property. We expect our net capital expenditures for 2024 to be approximately $1.2 million, which is less than 1% of revenue, reflecting the capital-light nature of our business. We expect to generate between $6 million and $10 million in free cash flow in 2024 after distributions to the non-controlling interests. This is despite a modest improved investment in net working capital to support our revenue growth. As a result, we expect our cash position at the end of the year to exceed $20 million, which is more than $7 per diluted share. We believe that our expected revenue and earnings growth in the current industry environment paired with our strong balance sheet positions us favorably amongst other publicly traded oilfield services and equipment peers. Slide 19 of our investor presentation benchmarks analyst consensus revenue and EBITDA growth for 2024 for NCS relative to a group of publicly traded peers with market capitalizations below about $1 billion. The charts illustrate that NCS is expected to generate revenue and earnings growth that is well above the median of the peer set. Another chart on the slide demonstrates that our debt-to-capitalization ratio on June 30 2024 was below the median for the peer set reflecting our resilient balance sheet. However, this favorable growth in balance sheet profile is not reflected in our trading multiple, which is currently at three times enterprise value to 2024 adjusted EBITDA. Nearly one multiple turn below that of the peer with the next lowest multiple and more than two multiple turns below the peer median. Before we open up the call for Q&A, I'll close with a couple of brief comments. We're benefiting from the core strategies implemented in 2022 aimed at generating value for our stakeholders through organic growth market penetration and technology development. We have the infrastructure in place to support revenue growth in each of our geographic markets providing leverage to grow future earnings. As demonstrated by our current guidance for 2024, achieving the midpoint of our guidance range would grow our annual revenue by 11% and our adjusted EBITDA by approximately 60%. We maintain a strong balance sheet and liquidity position with a cash balance of over $15 million at the end of the third quarter. As mentioned, we expect to add to that cash balance by generating additional free cash flow in the fourth quarter, and thereafter, providing additional financial and strategic flexibility. Finally, we continue to benefit from both additional applications for our existing products and services and the successful introduction of new technologies that meet the needs of our customers adding to our portfolio and expanding our addressable market. With that, we welcome any questions.
Operator: Thank you. [Operator Instructions] And our first question comes from Dave Storms of Stonegate. Your line is open.
Dave Storms : Good morning.
Ryan Hummer: Good morning, Dave,
Dave Storms : Good morning. Just hoping to kind of touch on the product sales in both the U.S. and Canadian markets. Both showed really strong growth quarter-over-quarter, year-over-year. Does this feel like a typical cadence to you? Or does this seem like maybe a bit of an inventory build as customers might try to get ahead of the market?
Ryan Hummer: Yes. What I'd say Dave, it's really more normal course of operations. Almost all of the sales that we make in North America have a relatively short lead time, what will get called out. And specific to products, whether that be fracturing systems work, well construction work our products to repeat precision. Usually they're called out on a well-to-well basis. For frac plugs, you may get a full pad worth of activity that gets delivered at once. But I would think of all of it as relatively short cycle and not the customers building inventory.
Dave Storms: Understood. Thank you. And then just looking at the international markets, can you just maybe remind us again, some of the circumstances around the timing of the tracer work in the Middle East that threw off the quarter a little bit?
Ryan Hummer: Yes, absolutely. So, as we came into this year and maybe I'll step back a little bit. It's obviously a long process to qualify certain products and services in the Middle East. So coming into the year, we had the expectation that we would work on a minimum of three pads in an unconventional resource development for a customer in the Middle East and their unconventional gas development. And in addition to that, we work through the local pressure pumping companies to provide tracer diagnostics services on some more conventional wells as well and that's more of a call-out basis. So that's progressed as we've moved through the year. We have completed the injection on two of those well pads. We're out injecting on the third well pad right now. The way that we I guess generate and recognize revenue for those, there's a couple of different phases involved. One, with respect to the injection, another with respect to the sampling and then another one, with respect to reporting. So you'll see that revenue kind of slow and come in and bits and pieces through the year. But what I say is that in general, the work that we're doing with Tracer Diagnostics in the Middle East is running more or less on schedule. There have been some circumstances where things may have been pushed back a month or so, but no big delays with respect to any of those projects. And to the extent, there's been any delay in any of that pad work, it's been backfilled by more work on the conventional tracing side.
Dave Storms: Understood. That's very helpful. And then just a couple more for me. On the expense front, is there any low-hanging fruit that you're targeting in the next three to nine months maybe into the early half of 2025 that you'd want to highlight for us?
Ryan Hummer: Look, I think we're beyond low-hanging fruit, Dave. I think as you've been following us over time, we took some cost reduction initiatives throughout 2023 and those are bearing fruit and paying dividends for us in 2024 in a way that's helping us to keep our SG&A, our operating expenses flat this year. We continue to make progress. We've done some things this year to reduce our insurance spend. For example, we continue to look at contracts with third-party service providers to try to bring those costs down. But I would say that, we're beyond being able to capture low-hanging fruit and everything that we do to maintain our cost structure is real hard work at this point, but it's hard work that we keep doing across the organization.
Dave Storms: That's perfect. And then just one more for me, maybe on a more macro level. I know you're not guiding to 2025 yet. But just curious, if you're seeing anything unusual that would throw off maybe some of the seasonal cadences for 2025 for anything to highlight for us as where we are looking at 2025?
Ryan Hummer: Sure, yes. And we're certainly not to the point where we'd be guiding to 2025 at this point. So maybe, I'll just cover it sort of broadly on what we might see from market conditions or expectations. I think for right now, in the US, our view would be that, activity in the US in 2025 might be more or less consistent with general activity levels. And for that I'm talking about drilling and completion on an industry basis that we've seen here in the second half of 2024. Absent any slowness that you might see in the last two weeks of December, but I think it kind of carries on at that level. In Canada, I'd expect that activity would continue to grow next year. The Canadian market has been supported this year with the TMX pipeline as it's come on which has supported some of the more oil-directed activity. I think as you know, LNG Canada should get commissioned next year in Canada, which will help to clean up the local pricing hub there, improved pricing in that market and then also all of the participants in that project will need to be growing their natural gas production to feed the LNG facility. So, we feel good about from a structural standpoint in the Canadian market for the next few years and think that will continue to grow, although it's low single-digit growth in the Canadian market. And then, when I think about where we're positioned internationally, I'd expect pretty strong growth in Argentina and Vaca Muerta next year. I think, Norway will continue to grow. And with where we're focused in the Middle East which is on their unconventional projects, I think investment continues to flow into the international projects in Middle East as well.
Dave Storms: That's incredibly helpful. Thank you for taking my questions and good luck in the fourth quarter.
Ryan Hummer: All right. Thank you, Dave.
Operator: Our next question comes from John Daniel of Daniel Energy Partners. Your line is open.
John Daniel: Hi, Ryan, thank you for including me. On the case study that you guys referenced the first one, I was driving. So I couldn't take notes, so I apologize. But when you talked about that like how do you take that case study and present it to similar customers within that area? And then you referenced the seismicity. You hear about all the headaches and maybe West Texas and Oklahoma. I know that's more tied to SWDs and stuff like that. But I'm just curious like how do you take that and present that to other customers or new customers? And how long does it take to convert them to believers?
Ryan Hummer: Yeah, it's a great question John. And I think one of the things that is just true in general of the market in Canada is the customers that are the operators are certainly more active, proactive and sharing information with each other quite frankly. So some of that happens naturally. The other way it happens of course is you have the operator on that well and other participants. So the other participants who may have a small ownership stake in that lower that project will understand what's happening and how this operational success enable more efficient operations and less bypass pay as opposed to historical practices that that partner in that well might have otherwise utilized. So that happens relatively quickly, quite frankly within the community there. But we will also be proactive in that you start off with call it no names white paper type case studies. You work with the operator to think through, can you present together at technical conferences find ways to communicate those results. But all of that's in process.
John Daniel: Okay. And then on the international side you called out the, I guess relative -- more optimism with respect to Argentina and Norway and then also the Middle East. But if -- where would you say -- what's the market where you've got the lease penetration that you're the most excited about?
Ryan Hummer: Yeah. As far as the relatively near-term, I'd say it's really twofold. One is expanding that well construction portfolio into the Middle East. We've moved through that process of going through the free product to the trial that needs to be called out by a technology sponsor to the point where we're in the well menu where asset owners across the various regions in that country can choose our technology. And I think word is getting around the success that folks have had there using our AirLock casing buoyancy system. I think on the other side and we talked really a little bit more about it on the last call with respect to some of the shallow-water offshore applications. Historically most of our operations have been conducted with coiled tubing as the conveyance device for our frac initiation assembly. With the work that we've done this year a number of the jobs have been on drill pipe, which just opens up some additional opportunity for operators that either prefer not to use coiled tubing or don't have access to coiled tubing. So there's a broader set of applications in the shallow water North Sea that had experience using our technology at this point and we'll take that forward into their operations going forward.
John Daniel: Okay. I appreciate the thoughtful answers. Good luck out there guys.
Ryan Hummer: All right. Thanks John. Look forward to seeing you next week.
John Daniel: Yes sir.
Operator: Thank you. Our next question comes from Jeff Robertson of Water Tower Research. Your line is open.
Jeff Robertson: Thank you. Good morning, Ryan. A question on well complexity. As you see wells getting more complex and operators trying to drill longer laterals, where does that impact NCS in terms of product demand and margin? And are you seeing opportunities to innovate new solutions to solve operators' problems over the next couple of years?
Ryan Hummer: Yeah, absolutely. Great question. So I think a couple of answers for that. One is as more of the industry or a higher percentage of wells move to true extended reach laterals I think that will improve the market penetration for casing buoyancy systems more broadly. And as we can leverage that proprietary piece of technology with within NCS, we can bring to bear the full suite of our well construction portfolio with a number of those customers. The other piece with that is working to continue and this is in tandem with other service companies for fracturing systems technology to get comfort in operating and shifting sleeves at depth, so beyond two miles, 2.5 miles, and I think the combination of the existing sleeve technology but really the service tool that we have and the experience of our field operations team customers are getting more and more comfortable running sleeves deeper into those laterals. So it continues to expand that market for us. The other piece that's more specific to NCS, the solution that's new for us and not necessarily new for the industry. But we talked a bit about repeat precision and bringing out their dissolvable plug called the PurpleReign. We've had really good trials with that. That's design -- that's what we call a high-performance dissolvable frac plug really intended to put pressure during the frac establish a really good seal and provide that treating pressure like you would see at the heel of the lateral get that all the way through the toe. So we've had good success early on. We're still in field trial stage, but we feel confident that we'll be able to take that technology deploy it with existing customers, who already run our composites but then start taking it to new customers as well. So I think in general right the trend towards longer laterals higher complexity will tend to benefit us and the way that we are positioned to attain the voice of the customer and quickly develop solutions to the extent that new challenges arise, we will be able to quickly onboard them through our product strategy team engineer those solutions and get them out to the customers.
Jeff Robertson: As a follow-up you mentioned in your prepared remarks geothermal and CCS or carbon capture well in CO2 injection wells. I think probably, a lot of your customers your existing customers are pursuing some of those types of projects. Can you talk about where you think that goes over the next couple of years in terms of diversifying NCS' revenue stack?
Ryan Hummer: Yeah, absolutely. And it's really two-fold. The application that we had for geothermal in the most recent quarter was a tracer application. So tracers that exhibited stability and very high temperature environments. And a lot of these geothermal developments right now especially what you'd call I guess the enhanced geothermal or they're looking to fracture into super hot rock, they're first up or very early days. So there's a lot of learnings that would be required by the developers as they progress those projects and tracer diagnostics is a great tool for them in that. The other piece that plays into that a bit with respect to the development of our technology we spoke to the 7-inch system that we developed for our fracturing systems sleeves and service tools. In geothermal and in certain other applications, including CCUS, flow rate can be very important. So as we have an initiative around our fracturing systems business both to grow the use case for the larger size offerings, and also take up the temperature capabilities for geothermal, but also for -- operations other high-temperature applications. I think you'll see our fracturing systems business expand more into those areas. On the CCUS side, I think it's really interesting what a number of the customers are doing as they're exploring that space. Again, it's early days. The customers have identified reservoirs, they believe will be good candidates for long-term storage of carbon. And what they're able to do with our technology is you can drill what's currently a vertical well with several zones that may be prospective for storage. And with our ship frac close process, you can isolate individual zones as you move up and test those individual areas in the reservoir to find which ones can accept the CO2 at the highest rates, and which of those zones have that integrity to provide that long-term storage solution. So I think we'll -- our technology will be used pretty readily on the early days as the customers are proving out those assets. And as the customers the operators certainly look to improve their ESG scores but their overall carbon footprint participate in carbon capture is certainly a part of that over time. And just another great example of taking established oilfield technology and applying it to new applications.
Jeff Robertson: Thank you. Thanks for taking my question.
Operator: Thank you. I'm showing no further questions at this time. I'd like to turn it back to Ryan Hummer for closing remarks.
Ryan Hummer: Okay. Thank you, Didi. On behalf of our management team and Board, we'd like to thank everyone on the call today, including our shareholders analysts and especially our employees. I truly appreciate the tremendous work and dedication of our team here at NCS and Repeat Precision, as we benefit from the implementation of our long-term strategy. As I've mentioned on this and prior calls, we're leaning into technically demanding projects where we can differentiate through product and service quality, delivering tangible benefits to our customers, whereby we provide unique value. We're engaged with our customers to enable them to succeed in challenging environments, onshore or offshore, into ever-increasing depths, temperatures, and pressures, and also increasingly outside of North America. It's only through the capabilities of our people in a wide variety of roles across NCS that we can confidently take on these challenges, and I'm grateful to have such an amazing team aligned to achieve our objectives and those of our customers. We appreciate everyone's interest in NCS Multistage, and we look forward to talking to you again on our next quarterly earnings call.
Operator: This concludes today's conference call. Thank you for participating and you may now disconnect.